Operator: Good morning, my name is Melissa, and I will be your conference operator today. At this time, I would like to welcome everyone to the TMX Group Fourth Quarter 2011 Analyst Conference Call. [Operator Instructions] Paul Malcolmson, Director of Investor Relations, you may begin your conference.
Paul Malcolmson: Thank you, Melissa, and good morning. Thank you everyone for joining us today for the Fourth Quarter 2011 Conference Call for TMX Group. As you know, we announced our fourth quarter 2009 and full year results this morning. A copy of the press release is available on our website, tmx.com, under Investor Relations. This morning, we have with us Tom Kloet, our Chief Executive Officer; and Michael Ptasznik, our Chief Financial Officer. Following opening remarks from Tom and Michael, we will have a question-and-answer session. Before we begin, I want to remind you that certain statements made on the call today may be considered forward-looking, and I'll refer you to the risk factors outlined in today's press release and the reports filed by TMX Group with regulatory authorities. Now I'd like to turn the call over to Tom.
Thomas A. Kloet: Good morning, and thank you, everybody, for joining today's call. It is perhaps an understatement to say that 2011 was an exceptionally active year for our company. Mergers, acquisitions, technology initiatives, regulatory changes, international expansion, new products and services and much more made it a very interesting year for TMX Group. Results for the year as a whole were very positive and we are pleased that we delivered strong revenue growth and an 11% increase in our adjusted earnings per share for the year. The fourth quarter, however, was challenging and it is clear that the growing global economic uncertainty weighed on our financial results. I'll spend the next few minutes on our operational performance for the year and the quarter, then I'll provide a brief update on the Maple Group offer. I'll then turn it over to Mike who will discuss our financial results in depth with you. I'll start with our equities business area. Total equity capital raised on Toronto Stock Exchange and TSX Venture Exchange during 2011 was $51 billion, which represents a 5% decrease compared to last year. However, we were pleased to see that the number of graduates from TSX Venture Exchange to the senior board was up 18% in 2011 compared to 2010. This is an important measure of success of our unique exchange system. We also celebrated the fact that our equity exchanges listed more companies than any other exchange in the world during 2011. Looking at the full year in terms of trading, combined equity trading volumes were down 2% in 2011 compared to 2010. At Montréal Exchange, the volatility created by global market uncertainty drove strong volumes in our risk management products. MX volume was up 40% in 2011 and open interest was up 26%. NGX trading and clearing volumes, which reflect the low price and volatility of natural gas, ended 2011 down 7% compared to 2010. Looking specifically at the fourth quarter now, NGX's volumes in Q4 2011 were 26% ahead of the prior quarter and 2% ahead of the fourth quarter 2010, which is positive. We were very pleased to see that compared to the fourth quarter of 2010. Montréal Exchange trading volume was up 23% in Q4 2011 and open interest was up 26%. During the fourth quarter, MX once again set a number of trading records. In equity listing and trading however, we did feel the impact from the more pronounced global economic uncertainty during the fourth quarter of 2011. While equity capital raised on Toronto Stock Exchange and TSX Venture Exchange was up 9% compared to the prior quarter, it was down dramatically compared to the fourth quarter of 2010. And while combined equity trading volumes during the fourth quarter of 2011 were slightly higher compared to the third quarter, volumes were down significantly compared to the fourth quarter of 2010, particularly on venture where economic concerns tend to have a more immediate and deeper effect. It is important for you to note that the decline in trading volumes during the fourth quarter of 2011 was not unique to TMX Group Markets. According to IROC, total volume traded in Canada during the fourth quarter of 2011 was down 25% compared to the fourth quarter of 2010. However, the same report showed the TMX Group's total Canadian market share increased in the fourth quarter of 2011 compared to the previous quarter, and it took a nice 6% jump up in December to 71%. Before I turn to our business initiatives during the quarter, I want to speak to one driver of our increased expenses. Our long-term incentive plan, which is designed to align management's compensation with shareholders' interests, is calculated based on the TMX Group's share price. The 2011 LTIP payout was based on restricted share units price on December 31, 2008. We realize that almost 90% total shareholder returns since that time, so the cost of 2011 LTIP compensation reflects the enhanced value of our stock over the past 3 years. Our employees' good work contributed to the share price appreciation, and we are proud to have a very talented team that we have. The TMX Group team has a very active quarter in terms of our business activity. At the end of November, we announced that we had made a bid to acquire Razor Risk Technologies Limited supported by Razor's board and management. Razor, which is listed on the Australian Stock Exchange and headquartered in Sydney, provides credit risk software to clearing houses, stock exchanges, financial institutions and brokerages around the world. That offer will expire at the end of February and it is the conditional on, among other things, 90% of Razor's shares is being tendered. Just under 90% of shares have been tendered as of February 7, so we expect to complete that offer. The acquisition of Razor will provide a point of entry into the attractive risk management technology sector. In December, TMX Group announced that it had purchased a 16% stake in the Bermuda Stock Exchange and that I had joined as board of directors. This investment is a small one, but it does provide interesting geographical and product development opportunities. The TMX Technology team works continuously to anticipate and meet evolving market needs. You'll recall that in November, we announced that the second phase of our enterprise expansion project had been successfully completed. Last week, we announced that we began our next major technology initiative, the implementation of our next-generation equity trading technology. TMX Quantum XA, which is base on hardware acceleration, will provide our trading clients with dramatically enhanced speed and capacity. We expect that it will be 20x faster than Quantum is today. We intend to launch it initially on TMX Select in the first quarter of 2013. Implementation on TSX and TSX Venture Exchange will follow beginning at the end of 2013. In 2011, as part of our overall objective to enhance TMX Group's international profile and presence, we opened offices in London in January, and Beijing in November. The new offices are focused on advancing Canada's capital markets and the business of TMX Group's equity exchanges, while providing a local presence to better serve our new and existing customers in these regions. In early 2012, Montréal Exchange expanded its sales and customer service team into the New York market where they have significant existing -- where they have significant existing client base. The MX sales staff operates out of our TMX Group's New York office. We're holding our launch celebration with MX clients in New York tonight. CDCC continues to work with the dealer and user community to build the infrastructure centralized counterparty services for the Canadian fixed income markets. The planned go live date for the clearing of the OTC fixed income repurchase agreement is on track for this quarter. These are just a few examples of the initiatives we have undertaken since we last reported. Turning now briefly to the Maple bid. You will, of course, recall that the end of October, TMX Group and Maple signed a support agreement, and that our Board of Directors unanimously recommended that TMX Group's shareholders accept the Maple offer. Since then, we have been working closely with the Maple Group to secure the necessary regulatory approvals. The bid was recently extended to February 29, 2011. We continue to believe that the Maple transaction is good, both for TMX Group and for Canada's capital markets. Looking back on the year, I think it is fair to say that 2011 was a very dramatic and productive year for the company. Looking ahead, I am very optimistic and positive about TMX Group's future prospects. Management and our entire employee team will continue to focus on the successful operation of our business. It is very exciting that we will be launching our repo solution very soon. We'll be busy concluding the Razor deal and working on the implementation of TMX Quantum XA. Our Business Development and Customer Service teams will literally be spanning the globe to attract new business and to serve our international and Canadian customers with excellence. We will continue to explore all growth opportunities within the context of our strategic plan, and we will continue our work with Maple to achieve the necessary approval to proceed with that transaction. I'll now turn it over to Michael to review TMX Group's fourth quarter 2011 financial performance, then we'll be happy to take your questions. Thank you. Michael?
Michael S. Ptasznik: Thank you, Tom, and good morning, everyone. As Tom indicated, while we achieved growth across most of the major components of our business in 2011, the fourth quarter itself was challenging, as global economic uncertainty impacted our performance. Revenue of $161.7 million in Q4 was down 7% compared with $174.1 million in a particularly strong fourth quarter of 2010. The decrease was due to lower issuer services in equity trading revenue, partially offset by higher revenue from our derivatives business, both MX and BOX, as well as higher revenue from information services. Net income attributable to TMX Group's shareholders was $52.7 million or $0.70 per common share, down 21%, largely due to lower revenue and higher expenses in the quarter, including $5.7 million pretax cost related to the proposed Maple acquisition. I will now briefly take you through some of the factors impacting our major revenue drivers in the quarter. Issuer Services revenue in Q4 '11 was down 17% versus Q4 '10, reflecting lower revenue from initial and additional listing fees, as a result of a decrease in the number and value of new and additional listings on Toronto Stock Exchange and TSX Venture Exchange. Revenue from our cash equities trading business was down 29% from Q4 '10, due to decreased in volume on TSX Venture Exchange and Toronto Stock Exchange and the pricing changes that we made in 2011. Offsetting some of the overall decrease in revenue was the continued strength in our domestic and U.S. derivatives operations. MX volumes increased by 23% reflecting increased trading across all major products. MX open interest was up 26% at December 31, 2011 compared with the end of 2010, and BOX volumes were up 40% in Q4 '11 versus Q4 '10. Information services revenue increased 10% compared with Q4 '10, due to revenue from TMX Atrium acquired on July 29, 2011, as well as higher revenue in co-location services, TMXnet and PC-Bond. Operating expenses in Q4 '11 were up 8% from Q4 '10, primarily due to higher cost associated with the addition of TMX Atrium, short-term and long-term employee performance incentive plans and an overall increase in salary and benefit costs. This is partially offset by higher capitalization of costs associated with our technology initiatives. As I indicated last quarter and as evidenced by some of the recent announcements Tom spoke of earlier, we have continued to invest in our leading technologies and added resources to generate growth. Looking now what our sequential performance. Revenue was down 4% in Q4 compared with Q3 '11, due to lower cash markets trading revenue and reduced derivatives markets trading and clearing revenue, somewhat offset by increased issuer services and information services revenue, as well as higher energy trading and clearing revenue. Net income attributable to TMX Group's shareholders for Q4 '11 decreased from Q3 '11, primarily due to the lower revenue, increased Maple-related costs, higher comp and benefit costs, increased information trading and system costs, as well as higher G&A expenses. Turning briefly now to our results for the full year. The benefits of our consistent long-term diversification strategy are evident in our 2011 results. Though equities, volumes and financings were down from 2010, MX set all-time records in terms of volume, open interest and BOX volumes, and market share were up sharply in 2010. Net income attributable to TMX Group shareholders of $237.5 million or $3.17 on a diluted basis for 2011 decreased slightly compared with $237.7 million or $3.19 on a diluted basis for 2010. The decrease was largely due to increased expenses due to $37.2 million pretax in LSEG and Maple-related costs, a commodity tax adjustment, lower cash markets trading revenue and higher comp and benefits expenses. Partially offsetting this decrease in net income were higher revenues from issuer services, derivatives markets trading and clearing and information services, as well as lower income tax expense in 2011 compared with 2010. Excluding the LSEG and Maple-related costs and a commodity tax adjustment, adjusted diluted EPS, earnings per share, was $3.50 -- $3.57 in 2011, an 11% improvement over adjusted, diluted EPS of $3.21 in 2010. Cash and marketable securities totaled over $490 million at December 31, 2011, an increase of $159 million from December 31, 2010. We generated over $303 million in cash flow from operations in 2011, a 9% increase over 2010, and we paid approximately $119 million in dividends. We currently have $430 million of debt under a 3-year term loan that we established on April 30, 2008, when we acquired MX. On December 16, 2011, we extended and amended this facility and revised credit facility remains at $430 million and will expire on June 29, 2012. And finally, the board declared a quarterly dividend of $0.40 per common share to be paid on March 9, 2012, to shareholders of record at the close of business on February 24, 2012. In accordance to the terms of our support agreement with Maple, we will not be making any changes to our capital structure or dividend at this time. With that, I'll turn it back to Paul for the Q&A session.
Paul Malcolmson: Thanks, Michael. Melissa, could you please outline the process for the question-and-answer session.
Operator: [Operator Instructions] Your first question comes from the line of Geoff Kwan from RBC Capital Markets.
Geoffrey Kwan - RBC Capital Markets, LLC, Research Division: The first question I have was the -- with respect to BOX and how you've been looking at maybe getting some additional shareholders there. Just was wondering if you can provide an update on that?
Thomas A. Kloet: Geoff, we are -- I'll restate our position, which is that we are very interested in making shares available to people that would want to acquire it and have an interest in providing additional volumes and liquidity to BOX. We've had various conversations, or I should say, BOX management has had various conversations with parties throughout the year. I think that the space has been a little bit less active while there were some major transactions going on. Maybe that'll change over the coming period. But we would make -- we'd look at the economics of the deal relative to what we think additional liquidity providers would bring into BOX and analyze that on that basis. But there's nothing pending on an immediate basis.
Geoffrey Kwan - RBC Capital Markets, LLC, Research Division: Okay. And then the second question I had was just on the new issue pipeline. When you adjust for how you view seasonality in the listings business, can you talk about how that may look today relative to, say, a few months ago or the way that you want to look at it?
Thomas A. Kloet: A really good question. Typically, December is a relatively active month for equity financing. If you think back about what December was like a year ago, it was -- it was very strong. December 2010, I should say, was very strong. December this year was slower, I think weighed down by the economic uncertainty and the capital market issues I referenced earlier, it's no secret that there has been a slower amount of major deals coming to the forefront. Now I am encouraged that and looking at on a Toronto Stock Exchange basis and looking at January, we raised about $4.3 billion compared to $1.3 billion in January a year ago, and about $2.8 billion in December. So January had a good start. I see a lot of interest in the pipeline, but I think that we're in a world where the economic uncertainty today, everybody's eye is on Athens and what's going to come out of that conversation, but there is a great deal of economic uncertainty, which I think is impacting people's timing coming to market. And I think that it'll be somewhat dependent upon economic events. Now myself as well as I think other stock exchange CEOs around the world are encouraged by the fact that there has been some improvement in the U.S. economy, and let's face that, that is an important market -- important for market psyche around the world. So we're hopeful that the U.S. economic situation continues to show signs that it may be improving that, that will help new issuance.
Operator: The next question comes from the line of John Reucassel from BMO Capital Markets.
John Reucassel - BMO Capital Markets Canada: Michael, just a question of clarification. On the compensation benefits, the $3.7 million increase year-over-year there Q4 '11 versus Q4 '10, can you breakout how much was LTIP and how much was other things?
Michael S. Ptasznik: I don't think we've broken it out in the MD&A there or in the press release, but I would say that the LTIP was a substantial portion of the increase -- sorry, Q4 LTIP 2010 -- '11 versus Q4 2010, one of the key drivers there was Atrium, the addition of Atrium and then also the LTIP was another portion of that.
Thomas A. Kloet: Yes, can I just jump in? John, Atrium, this was the first full quarter for Atrium being part of the TMX family here. We closed that deal in mid-August. And over half of the expense increase, the total expense increase from 2010 -- from the fourth quarter 2010 to the fourth quarter 2011 was the result of Atrium. So a little over half of total expense increase came from Atrium.
John Reucassel - BMO Capital Markets Canada: Okay. And just -- we just kind of like the market activity, we haven't just seen the revenue side, is that correct?
Thomas A. Kloet: Well, there actually is a -- it has also generated revenue in the fourth quarter. We bought a business that we knew needed some investment, but there are revenues in for the fourth quarter as well.
John Reucassel - BMO Capital Markets Canada: Okay. And then just back to Michael, so on the IT systems, the $15 million in the quarter, just trying to get a sense, is this what we should be used to or getting comfortable with as the new kind of level of spending that the TMX is going to be required to make?
Michael S. Ptasznik: What I'd say and we've been saying this for few quarters that the cost increases that we've been seeing do reflect the investment that we've been making in the new technology and in some of these new business opportunities like Atrium. Where Atrium, and this isn't just on the tech line, but this is on the headcount, we've added 24 people behind that, and they come along with technology cost. So a big portion of the information technology costs quarter-over-quarter was related to Atrium as well. So when Tom talks about half of the increase, some of it -- a big portion of that is coming through the IT line. So I would suggest that some of the new initiatives we have like Quantum XA and some of the others are going to add to the cost base, and that's what we're seeing, and the results here is the investment that we've been making in the business.
John Reucassel - BMO Capital Markets Canada: Okay. And then, Tom, you did mention a repo solution. Is that for CDCC presumably? Could you clarify or provide a little more context on that?
Thomas A. Kloet: Yes. We have for over a year now, been working on developing a fixed income repo clearing solution for the community. If you remember, IIAC awarded us a contract for that. We've been working on that. As we got into with the work with the dealer community, some aspects of the original proposal were changed because the RP wasn't fully clear on certain aspects of it, so it's taking us a little bit longer to get it out the door. But I'm quite comfortable we're on the way to a launch this quarter. It's exciting because it will provide us with a new space to earn clearing revenues and allow us to serve some new constituents with respect to the cash fixed income community here in Canada. So we're really excited about the prospects of that. We have spent considerable amount of money to develop this, based on the core technology in CDCC's clearing system. But we did have to enhance considerably as the requests from the community evolved over the last year. But I think that it's a very important, both strategic and positioning, opportunity for us, and I would expect that we'll start seeing revenues for this in the second half of the year.
John Reucassel - BMO Capital Markets Canada: Okay. And last question just on Maple and the CDS, when did you submit the new pricing, was that before or after Christmas? And then Tom, could you -- I'm just trying to understand the concern that there -- the competition Bureau has on the CDS is ownership or is it government -- sorry, a market structure? I'm just trying to understand why the bank's going from owning 78% of this to something half of that under Maple is a concern for them. Maybe you could just enlighten me?
Thomas A. Kloet: Well, Mike you know the answer on when we submitted.
Michael S. Ptasznik: Yes, I would say there's been a few discussions and submissions that we've been making to the commissions and bureau over time. So there's been an ongoing dialogue with respect to a number of different submissions is the way I'd characterize it, so it's not necessarily one specific point in time.
John Reucassel - BMO Capital Markets Canada: But the pricing was a distinct one, was it not?
Michael S. Ptasznik: Including the pricing, there's been numerous discussions about the pricing model. It hasn't been just one static discussion.
John Reucassel - BMO Capital Markets Canada: So there have been a numerous submissions on pricing?
Michael S. Ptasznik: I would say numerous permissions, there's been submissions by numerous dialogues and discussions going on with respect to the submission. And there's going to be clarification and questions that have come up, and so there has been discussions around the model.
Thomas A. Kloet: And with respect to the second part of your question, I mean, it would not be -- and I hope you can respect this, it would not be appropriate for me to speculate on the commissioner's specific views nor articulate any of those views. I think she should do that, not me. But what I will say is that I think that the value proposition that CDS -- having CDS linked to the TMX Group, the value proposition of that to the Canadian capital markets, ignore for a moment if we can, although it's hard for me to do that, ignore TMX Group ventures for a second. Let's think about it broadly as a Canadian capital markets. It's a pretty compelling case to bring CDS in here. And they are the only provider of securities clearing today. And I've said on this very call in the past that I would not suspect that it would be in our game plan to compete with CDS and the equity clearing business in the future. So I would suspect realistically with respect to Canada's capital markets that it is an excellent provider and we would intend to provide that same kind of excellent service than a cost-effective basis.
Operator: Your next question comes from the line of Jeff Fenwick from Cormark Securities.
Jeff Fenwick - Cormark Securities Inc., Research Division: Just wanted to talk a little bit about any planned fee changes that you might have on the various trading segments you have for this year or on data. Anything there that's materially that you did certainly on the equity trading side make some changes over the last year that were impactful? Anything further in the pipeline we should be thinking about here that would be meaningful?
Thomas A. Kloet: We did. We did last year and in fact, some of that even within the -- you saw the results of it in the fourth quarter as well on data. But I don't think there's anything material in the pipeline right now that we have. But we're always monitoring what our value proposition is and making sure that we share that value proposition with our clients.
Jeff Fenwick - Cormark Securities Inc., Research Division: Fair enough. And maybe talk about market data or I guess, it's now information services, a little more here. You have been active there with Atrium and some new products and services, and getting some growth here, which looks good even in a tough quarter from a revenue perspective. What are the areas where you're seeing the most opportunity for growth right here? There are certain products and services that are helping, that keeps growing despite a slower level of market activity..
Thomas A. Kloet: I think anything that helps with risk management and infrastructure provision has value just go back to John's -- I think it was John's earlier question on fixed income clearing initiative for repo. That has value, and it's clear that if we make risk management products, whether it's a trading product and MX was a clearing product of CDCC, whether we're fortunate to close the Razor deal and provide some risk management software from a neutral provider, both as a product itself and as a wholesale technology services offering, I think the community is looking for products like that. So our view of what an exchange group should be in the year 2012 is pretty expensive. And it includes much more than simply the trading of equities or the trading of derivatives, or the simple dissemination of quotes on that. We're trying to convert what would normally be viewed as data into information. And that goes across whether as risk management tools or our market data.
Michael S. Ptasznik: Just add to what Tom said, we did announce, you'll see this in the MD&A, there was a price -- further price reduction on data coming in April 1, 2012, where we're dropping our TSX level 1 from $32 to $30 and then pricing the Index information separately. So you'll see that in the MD&A. It's broken out.
Thomas A. Kloet: Sorry, I forgot that one because I knew we'd announce it.
Jeff Fenwick - Cormark Securities Inc., Research Division: Okay. And I just want to move over to the repo clearing opportunity here. I mean, it's tough to kind of get a handle on what the potential here is for your business. Is there any -- you touched on a little bit already that from a revenue perspective, not that material in the near term at least maybe more so in the back half of the year. But what's the rollout plan here? Is this something where a lot of institutions are going to be compelled to use it? Any sense around the size of the prize or how big that market is for you to pursue, say, over the next 2 or 3 years?
Thomas A. Kloet: Well, as you know, we do not -- as a practice, we have revenue guidance, but what I can do is give you some things to think about as you think about what it could mean. In other words, kind of sizing what the opportunity could look like. And a couple of things. One is the fee schedule is actually on our website now, so you can kind of see what our fee schedule is going to be. And you can -- we did a little research in terms of what LCH is clearing in terms of their volumes and relative to the size of their fixed income market, and you could probably back-door some sizing there. But the reality is that the regulatory winds are in our favor here. And what I mean by that is it is the case that the G-20 leaders and finance ministers have encouraged multilateral clearing of over-the-counter executed trades to a major extent. And I think we're starting to see that, that find its way into the Basel III capital rules and you're starting to see that fall into some nation's capital rules for banks. That's real beneficial for us. That's why we want to make this investment as a part offering that overall solution. That's part of the vision relating to the strategies.
Jeff Fenwick - Cormark Securities Inc., Research Division: And then one last question if I can, what's your plan B if the Maple bid falls apart? I mean, you're sitting with a pretty healthy balance sheet, almost $500 million in cash there. Do you have a plan B? Are there things you're looking at here that maybe you're holding back on waiting for the Maple transaction to either happen or not happen? Any color you can offer there, Tom?
Thomas A. Kloet: Well, plan B is we first have a fabulous business that has -- that we think has significant growth prospects associated with it. We're making key investments right now, and you're seeing some of the costs -- I get that. We're making key investments right now to seize that opportunity. And there are going to be opportunities out there for us to make the company bigger, whether it's de novo build of businesses or acquisition opportunities. Our first choice, as we've always said, is to reinvest the business. That said, we recognize that our cash position is very strong and we will balance based on the opportunities at the time -- if that were to happen, we will balance the opportunities for growth with revisiting all the issues related to our capital plan, including the dividends and share buybacks and all that. But we'll balance -- we're the first preference towards reinvesting in the business to seize those growth opportunities. You may add to that, Michael, or not.
Michael S. Ptasznik: No, and I think that applies to in a post-Maple or Maple world as well that we're going to continue to look for opportunities, and the pipeline of opportunities that are out there is still significant and we continue to investigate those, whether they'd be the small ones like we've always talked about, like Razor and Atrium or larger ones, so we'll continue to look for opportunities going forward, regardless of the situation.
Thomas A. Kloet: I mean, just one other comment. I don't want this misunderstood. I very much like the Maple proposal. And as I've said in the last couple of calls, I'm in the Maple proposal, if you will, with both feet, so there should be no mistaken about whether or not I think it is good for our company or good for the capital markets here. That said, if it doesn't happen, there are fabulous opportunities for this institution and we have a very solid business plan. In fact, the Maple business plan is largely our business plan. They've embraced our business plan. So I see a very strong future for the institution either way, but there shouldn't be any misunderstanding about our complete support for the Maple transaction.
Paul Malcolmson: Operator, do we have any more questions?
Operator: There are no further questions at this time.
Paul Malcolmson: Okay. Well, thank you very much, everyone, for listening today. The contact information for Investor Relations, as well as for Media is in the press release, and we'd be happy to take your questions throughout the day. Once again, thank you, and have a great day.
Operator: Ladies and gentlemen, this does conclude today's conference call. You may now disconnect.